Operator: Hello, and welcome to the Second Quarter 2025 Earnings Conference Call for Amphenol Corporation. [Operator Instructions] At the request of the company, today's conference is being recorded. If anyone has any objections, you may disconnect at this time. I'd now like to introduce today's conference host, Mr. Craig Lampo. Sir, you may begin.
Craig Lampo: Thank you. Good afternoon, everyone. This is Craig Lampo, Amphenol's CFO, and I'm here together with Adam Norwitt, our CEO. We would like to welcome you to our second quarter of 2025 conference call. Our second quarter '25 results were released this morning. I will provide some financial commentary, and then Adam will give an overview of the business and current market trends, and then we'll, of course, take questions. As a reminder, during the call, we may refer to certain non-GAAP financial measures and make certain forward-looking statements. So please refer to the relevant disclosures in our press release for further information. The company closed the second quarter of 2025 with record sales of $5.650 billion and record GAAP and adjusted diluted EPS of $0.86 and $0.81, respectively. Second quarter sales were up 57% in U.S. dollars, 56% in local currencies and 41% organically compared to the second quarter of 2024. Sequentially, sales were up 17% in U.S. dollars, 16% in local currencies and 14% organically. Adam will comment further on trends by market in a few minutes. Orders in the quarter were a record $5.523 billion, up a strong 36% compared to the second quarter of 2024 and up 4% sequentially, resulting in a book-to-bill ratio of 0.98:1. GAAP operating income was $1.419 billion in the quarter, and GAAP operating margin was a record 25.1%. GAAP operating margin included $29 million of acquisition-related costs. Excluding these acquisition-related costs, adjusted operating income in the second quarter of 2025 was $1.448 billion, resulting in a record adjusted operating margin of 25.6%. On an adjusted basis, operating margin increased by a strong 430 basis points from the prior year -- sorry, from the prior quarter and 210 basis points sequentially. The year-over-year increase in adjusted operating margin was primarily driven by strong operating leverage on the significantly higher sales volumes, which was only modestly offset by the dilutive impact of acquisitions. On a sequential basis, the increase in adjusted operating margin reflected strong conversion on the higher sales levels as well as further progress on the profitability improvement initiatives on acquisitions. I'm extremely proud of the company's record operating margin performance in the second quarter, which reflects continued strong execution by our team. Breaking down second quarter results by segment compared to the second quarter of 2024. Sales in the Communications Solutions segment were $2.910 billion and increased by 101% in U.S. dollars and 78% organically. Segment operating margin was 30.6%. Sales in the Harsh Environment Solutions segment were $1.445 billion and increased by 38% in U.S. dollars and 18% organically. Segment operating margin was 25.2%. Sales in the Interconnect Sensors & Systems segment were $1.295 billion and increased by 16% in U.S. dollars and 14% organically and segment operating margin was 19.5%. The company's GAAP effective tax rate for the second quarter was 18.3% and adjusted effective tax rate was 24.5%, which compared to 20.4% and 24% in the second quarter of 2024, respectively. GAAP diluted EPS was a record $0.86 in the second quarter, up 110% compared to the prior year period. And on an adjusted basis, diluted EPS increased 84% to a record $0.81 compared to $0.44 in the second quarter of 2024. This was an outstanding result. Operating cash flow in the second quarter was a record $1.417 billion or 130% of net income and free cash flow was a record $1.122 billion or 103% of net income, an excellent result, especially considering the growth we have experienced. In the third quarter, we expect capital spending to again be somewhat elevated versus our typical 3% to 4% of sales levels as we continue to invest to support the significant growth we are seeing in the IT datacom market. From a working capital standpoint, inventory days, days sales outstanding and payable days were all within our normal range. During the quarter, the company repurchased 2 million shares of common stock at an average price of approximately $78. And when combined with our normal quarterly dividend, total capital returned to shareholders in the second quarter of 2025 was approximately $360 million. Total debt on June 30 was $8.1 billion and net debt was $4.8 billion. Total liquidity at the end of the quarter was $6.2 billion, which included cash and short-term investments on hand of $3.2 billion plus availability under our existing credit facilities. Excluding acquisition-related costs, second quarter 2025 EBITDA was $1.7 billion. And at the end of the second quarter of 2025, our net leverage ratio was 0.9x. During the quarter, the company completed a successful $750 million U.S. bond offering and a EUR 600 million bond offering. As of June 30, the company had no outstanding borrowings under its revolving credit facility or its commercial paper programs, and we expect quarterly interest expense, net of interest income earned on cash on hand to be approximately $70 million, which is reflected in our third quarter guidance. I will now turn the call over to Adam, who will provide some commentary on current market trends.
R. Norwitt: Well, thank you very much, Craig, and I'd like to extend my welcome to all of you from sunny Wallingford, Connecticut. And I hope that all of you on the call here today, together with your family and friends and colleagues are enjoying a wonderful summer so far. As Craig alluded to, I'm going to highlight our achievements in the second quarter. I'll talk about our trends and progress across our served markets. We'll make some comments on our outlook for the third quarter, and then, of course, we'll have time for questions at the end. Let me just say that we drove outstanding performance in the second quarter of 2025. In fact, our results were much stronger than expected, exceeding the high end of guidance in sales and adjusted diluted earnings per share. Our sales grew from prior year by a very strong 57% in U.S. dollars and 56% in local currencies, reaching a new record $5.650 billion. And on an organic basis, our sales increased by 41%, with all of our end markets experiencing robust organic growth. And I'll talk about those markets specifically here in a few moments. The company booked a record $5.523 billion in orders in the second quarter, and that represented a book-to-bill of 0.98:1. And these orders grew by 36%, very strong compared to prior year and were also up sequentially from our previous record orders in the first quarter. I want to say that we're particularly pleased to have delivered record adjusted operating margins of 25.6% in the quarter. This is an increase of 430 basis points from prior year and 210 basis points sequentially. This strong profitability is a direct result of the outstanding execution of the Amphenol team around the world who continue to manage well in what continues to be a challenging cost environment. Adjusted diluted EPS grew 84% from prior year and reached a new record of $0.81. And finally, the company generated record operating and free cash flow in the second quarter of $1.4 billion and $1.1 billion, respectively, both clear reflections of the quality of the company's earnings. I cannot express enough my pride in our team. Amphenol's results this quarter once again reaffirm the value of the drive, discipline and agility of our entrepreneurial organization as we continue to perform well amidst a very dynamic environment. We are very pleased in May to have closed on the acquisition of Narda-MITEQ and based in Hauppauge, New York, with annual sales of approximately $120 million, Narda-MITEQ is a leading provider of active RF and microwave components primarily for the defense market. Together with our previously announced acquisitions of XMA and Q Microwave and now with Narda, we're building a strengthened presence in RF interconnect and active RF components, which is a great complement to our leading position across RF connector, cable, cable assembly and antenna products for this important market. We remain confident that our acquisition program will continue to create great value for the company. Our ability to identify and execute upon acquisitions and then to successfully bring these companies into the Amphenol family remains a core competitive advantage for the company. Now turning to our served markets. We're very pleased that the company's end market exposure remains highly diversified, balanced and broad. This diversification continues to create great value for the company, enabling us to participate across all areas of the global electronics industry while not being overly exposed to the volatility of any given market or application. The defense market represented 9% of our sales in the quarter. Sales grew from prior year by a very strong 25% in U.S. dollars and 18% organically. And this was driven by broad-based growth across most segments within the defense market. Sequentially, our sales increased by 13%, which was better than our expectations coming into the quarter for a high single-digit increase. Looking into the third quarter, we expect sales to increase modestly from these second quarter levels, including the benefit of our acquisition. We remain encouraged by the company's leading position in the defense interconnect market, where we continue to offer the industry's widest range of high-technology products. With the addition of Narda-MITEQ, we continue to diversify our already broad product offering to capitalize on the increasing adoption of electronics in defense equipment. Amidst the current dynamic geopolitical environment, countries around the world are expanding their spending on both current and next-generation defense technologies, and we're positioned better than ever to capitalize on this long-term demand trend. The commercial aerospace market represented 5% of our sales in the quarter, and sales increased by 50% in U.S. dollars and 8% organically from prior year as we benefited from the addition of CIT last year as well as our continued progress in expanding content on next-generation commercial aircraft. Sequentially, our sales grew by 6% in U.S. dollars from the first quarter, which was better than our expectations coming into the quarter. Looking to the third quarter, we expect our sales to be up in the low single digits from these second quarter levels. I'm truly proud of our team working in the commercial air market. With the ongoing growth in demand for jetliners, our efforts to expand our product offering, both organically and through our acquisition program are paying real dividends. In particular, we continue to be very encouraged by the progress of the CIT team as part of Amphenol, and we look forward to further capitalizing on our expanded range of product solutions for the commercial air market long into the future. The industrial market represented 19% of our sales in the quarter, and our sales in this market grew 25% in U.S. dollars and 12% organically as we continue to see improvements across our diversified industrial market. In particular, our organic growth was driven by expansions in alternative energy, instrumentation, medical, industrial EV and factory automation. And I'm especially pleased that we grew organically in all of our served geographic regions during the quarter, including in Europe. On a sequential basis, our sales grew by a much better-than-expected 11% from the first quarter. Looking into the third quarter, we do expect sales to moderate slightly from these second quarter levels on typical seasonality. But we remain encouraged by the company's strength across the many diversified segments of this important market. As demand has continued to recover, I'm confident that our long-term strategy to expand our high-technology interconnect, antenna and sensor offering, both organically and through complementary acquisitions, has positioned us to capitalize on the many electronic revolutions that continue to occur across the industrial market. This creates exciting opportunities for our outstanding team working in this important area. The automotive market represented 14% of our sales in the second quarter, and sales in this market grew 10% in U.S. dollars and 8% organically as we experienced growth really in all regions. Sequentially, our sales in automotive grew by 7% from the first quarter, which was also much better than our expectations coming into the quarter and really reflected strong execution by our team. For the third quarter, we expect sales to be slightly lower than the second quarter levels as customers plan for their traditional summer shutdowns. I remain proud of our team working in the automotive market. While there are still areas of uncertainty in this market, our team continues to be focused on driving new design wins with customers who are implementing a wide array of new technologies into their vehicles. We look forward to benefiting from our strong position in the automotive market for many years to come. The communications networks represented 11% of our sales in the second quarter. Sales grew from prior year by 143% in U.S. dollars, which was driven primarily by the addition of ANDREW. On an organic basis, our sales increased by a robust 16% from prior year as we benefited from increased spending by communications networks operators as well as wireless equipment manufacturers. Sequentially, sales in the second quarter grew by 30% from the first quarter, driven in part by the ANDREW acquisition, which was completed in the first quarter. Organically, our sales grew by a better-than-expected 7%. Looking into the third quarter, we expect sales to remain at these very strong Q2 levels. With our expanded range of technology offering, especially following the acquisition of ANDREW, we are well positioned with both service provider and OEM customers across the global communications networks market. Our deep and broad range of products, coupled with an expansive manufacturing footprint have positioned us to support customers around the world. As those customers continue to drive their systems to higher levels of performance, we look forward to supporting them for many years to come. The mobile devices market represented 6% of our sales in the quarter, and our sales grew by 14% in U.S. dollars and organically in the second quarter as strength in smartphones and laptops was only partially offset by declines in products sold into tablets. Sequentially, our sales increased by 4%, which was actually much better than our expectations coming into the quarter for a high teens decline. As we look into the third quarter, we anticipate sales to increase in the high single digits compared to the strong second quarter levels. I'm very proud of our team working in the always dynamic mobile devices market as their agility and reactivity have once enabled us to capture -- once again enabled us to capture incremental sales in the quarter. I'm confident that with our leading array of antennas, interconnect products and mechanisms designed in across a broad range of next-generation mobile devices, we're well positioned for the long term. And finally, the IT datacom market represented 36% of our sales in the quarter. Sales in the second quarter grew by a very strong 133% in U.S. dollars and organic, and this was driven by continued acceleration in demand for our products used in artificial intelligence applications, together with continued robust growth in our base IT datacom business. I'm very proud of our team's outstanding execution in the second quarter as we were actually able to outperform even our customers' very high expectations for deliveries of AI-related products. As a result, we shipped substantially more than expected, including some modest portion of third quarter demand. In fact, without this additional output, our IT datacom sales would have represented roughly a similar percentage of overall company sales as we saw in the first quarter or approximately 33%. On a sequential basis, our sales increased by a very strong 29% from the first quarter, substantially better than our expectation for a high single-digit increase, again, reflecting that outperformance of our team executing beyond what anybody expected. And this growth was driven by sales of AI-related products as well as growth in our base IT datacom business. As we look into the third quarter and due to the stronger-than-expected execution of our team in the second quarter, we expect our sales to moderate in the high -- in the mid- to high single digits from these very strong second quarter levels. But I got to tell you, we're more encouraged than ever by the company's position in the global IT datacom market. Our team has done an outstanding job securing future business on next-generation IT systems with a broad array of customers. And the revolution in AI continues to create unique opportunity for Amphenol, given our leading high-speed and power interconnect products. In fact, whether high-speed power or fiber optic interconnect, our products are critical components in these next-generation networks, and this creates a continued long-term growth opportunity for Amphenol. Turning to our outlook and assuming current market conditions as well as constant currency exchange rates, for the third quarter, we expect sales in the range of $5.4 billion to $5.5 billion and adjusted diluted EPS in the range of $0.77 to $0.79. This would represent sales growth from prior year of 34% to 36% and adjusted diluted EPS growth of 54% to 58% compared to the third quarter of last year. I remain confident in the ability of our outstanding management team to adapt to the many opportunities and challenges in the current environment and to continue to grow our market position while driving sustainable and strong profitability over the long term. Finally, I'd like to take this opportunity to thank our entire global team for their truly outstanding performance here in the second quarter. And with that, operator, we'd be very happy to take any questions.
Operator: [Operator Instructions] The first question is from the line of William Stein with Truist.
William Stein: Congrats on the fantastic quarter. And what really sticks out to me is the operating margin, which is now -- I believe it's above even your drop-through target. And so I wonder if this might be a time to revisit that bogey. I think historically, you've talked about 25% fall-through. You're now above that on an aggregate basis. What should we think about going forward?
Craig Lampo: Yes. Thanks, Will. Really appreciate the question. Yes, listen, I would agree. I mean the team really has just done an exceptional job really driving operating margin. I mean, 25.6% in the quarter is really an amazing achievement that the team is should be really proud of, and we certainly are. I mean Q3 also reflects our guidance, really reflects another strong quarter of profitability kind of essentially at the same levels on slightly lower revenue guidance. So we certainly expect this operating margin to continue. As you know, and as you just mentioned, we've long targeted the 25% conversion margin in the last couple of years, we've really meaningfully exceeded that benchmark. So it's partially due to just the exceptional organic growth, but also the bottom line is we're really just selling higher technology products, and we continue to do a really good job of controlling our costs in our traditional kind of Amphenolian fashion. Now listen, we do expect some normalization of conversion margins as we continue to kind of scale our cost structure in line with these higher sales volumes as we move into kind of maybe 2026. But we really believe that the overall impact of that will be modest and our conversion margins will continue to remain higher and meaningfully higher than kind of that 25% conversion target that we've historically had. So as you say, it's not lost on us that we just did close the quarter here well above 25%. And going forward, as we continue to grow, we do believe there's still room for really further margin expansion. This reflects the increased level of technology we've had that's embedded in our products, differentiated value that we consistently deliver and certainly the innovation and execution that we've had. So I think looking ahead, we do expect to convert incremental sales on operating income, maybe I would say, approaching 30%. I think close to 30% would be our target kind of moving forward. And I think it's appropriate given where we're at and kind of where we're heading. Of course, there are going to be periods due to M&A and other factors, we'll be above or below that. But I think 30% is kind of, I think, the targeted conversion that you should think about kind of as we continue to move forward and we continue to grow. And I think we should certainly be able to continue to increase those margins as the company continues to increase our revenue in the future.
Operator: The next question is from the line of Steven Fox with Fox Advisors.
Steven Fox: Just to follow up on that margin question. Adam, can you talk a little bit about how that sales mix is sort of becoming richer? I would imagine a good portion is due to the mix of sales from Gen AI data centers. But can you sort of describe to us what's changing in sort of the tech road map for Amphenol that's driving the margins?
R. Norwitt: Yes. Thanks very much, Steve. I mean, look, we -- I think Craig just alluded to the fact that for sure, when you grow really fast, and we did grow by 133% in IT datacom, you really would expect conversion margins to be a little bit higher in that high-growth area. And that's true in whichever market where we would grow at that speed. But relative to Craig's comment about technology, I would tell you this is really across the company. When we think about the importance of our products, to our customers and ultimately, the value that we create for our customers with these next-generation high-technology products, whether that is in the defense market, the industrial market, the automotive market, the communications networks and of course, in IT datacom, by creating more value for our customers and by continuing to instill that Amphenolian cost mindset into everything we do, we are not because we're selling higher technology products, all of a sudden moving out of our kind of shabby chic headquarters here in Wallingford, quite the contrary. We continue to watch every penny of the company's money as if it were coming out of our own pockets. And by selling that high-technology product across the board, that allows us to have the confidence that Craig just talked about where we can think about a conversion margin target of closer to 30% instead of our traditional 25%, so yes, for sure, we are enabling more in IT datacom and growing very significantly, and that's contributed. But that's not, by definition, the only area where we're selling high-technology products.
Operator: The next question is from the line of Amit Daryanani with Evercore..
Amit Daryanani: Adam, I guess there's always this worry around peak revenues, peak margins when we have strong prints like this one. And so perhaps you can touch on it. I realize it was about $150 million of shipment in June versus September that you talked about. But really away from that, can you spend some time talking about how do you think about the durability of growth on the AI infrastructure side as you go out over the next few quarters? And then any way to size or favor how much of the growth in IT datacom that you folks had came from AI versus the traditional kind of IT datacom markets?
R. Norwitt: Yes. Thanks very much, Amit. And certainly, I can understand the question. I mean, look, we talked about the fact that we overperformed. I mean this was a very, very strong outperformance. If you think about our second quarter, we originally guided the quarter to be at the high end, $5 billion in sales, and we ultimately achieved $650 million more than that. And on the IT datacom side, we outperformed very, very significantly. And you gave a size to that, and that's, I think, a good rough estimate of how much we kind of shipped of what would be Q3 demand. And if you factor that in, you certainly don't see a peakiness to the performance. I mean there is continued momentum in that space. And when we think about the durability, are we always going to grow IT datacom by 133% No, of course, we're not going to. I think that wouldn't be reasonable to expect it. But do we see future growth opportunities in this revolution of AI? No doubt about it. No doubt about it. I mean when I look at what we have already secured, what we are already shipping to support across up and down the stack, of the folks who are investing from the web scale providers all the way down to the chip makers and everything in between, including the OEMs, including the data center configures, all of that, there's no doubt that there remains great opportunities for us. And I can tell you that our team continues to win. I mean when you have not only the best product portfolio, the broadest, the deepest set of technologies that help to enable these next-generation systems, but also the proven capability to ramp up and to build those around the world in multiple locations as our customers navigate the same geopolitics that everybody else is with tariffs and trade and the like and to satisfy their demand and actually in the second quarter to more than satisfy their demand, I can tell you that our reputation perceives us. And as we look at new customers, looking at new configurations, new architectures, we are really the first phone call on all of these, and our team continues to do an excellent job of prosecuting these next-generation opportunities. So I think that, that is a very durable continuation. And I would consider that we're kind of in the early innings of the adoption of AI on a broad basis across the economy. And so we're very excited about that. In terms of AI and its contribution to our growth, I would say roughly 2/3 of our growth on a year-over-year basis and actually roughly 2/3 of our growth sequentially in the quarter were coming from AI. So it's a significant contributor to the overall performance of our IT datacom business, and we look forward to it continuing to be so going forward many years in the future.
Operator: The next question is from Joe Giordano with TD Cowen.
Joseph Giordano: Sticking with AI, just curious if your business there is getting more concentrated or less concentrated from a customer standpoint as you've moved along here? And if you were to just like average out your 2Q and your 3Q there to smooth for the pull forward here. I know you're not going to give guidance further than next quarter, but like is what you've secured sets you up to have further kind of sequential increases into the future off of that like smooth base?
R. Norwitt: Yes. So first, thanks very much, Joe. I mean, number one, I'll tell you, we have a very broad business here. So there are some big folks who are spending on this, and we have a broad representation across all of those big folks. And again, I've mentioned that includes at the ultimate consumer, the people who are spending the money putting in place these massive capabilities, down through the builders of those data centers, the OEMs and then all the way to the chip companies. And I wouldn't say that, that is overly concentrated, quite the contrary. And as you ask about, for sure, if you look at Q2 and Q3 and if you sort of factor out the kind of ship ahead that we had because of our execution, that's a relatively stable performance. Do we see future growth opportunities? We do. Is every quarter going to be sequentially more than the quarter before it in a space like this? I wouldn't necessarily say that. We'll see. I'm sure there will be quarters that will be up and there will be quarters that will be down. But over the long term and over the medium term, we see continued progress and ability to continue to grow this business.
Operator: The next question is from Mark Delaney with Goldman Sachs.
Mark Delaney: Let me add my congratulations for the strong results. I also had a question on AI and some of the dynamics there. You spoke to seeing some degree of pull-in from 3Q and 2Q. Maybe you can elaborate on what you think contributed to that and why you shipped early. And as you think about your expectation for sales to be down somewhat next quarter, granted off of a high base. What's giving you the confidence to still invest at higher levels of CapEx? I think maybe perhaps speaks to your longer-term view tied to AI that Adam you spoke to, but are there commitments or visibility you're getting from customers that supports the higher levels of CapEx that you spoke to?
R. Norwitt: Yes. Thanks very much, Mark. And again, I mean, this I wouldn't necessarily call it a pull-in, but rather that we were able to out-execute our customers' original demand plans, and they'll take whatever we can ship them. And so it was just us outperforming what really anybody expected, either us internally or what our customers with their already lofty expectations. As it relates to CapEx, I mean, Craig did mention that capital was a little bit elevated. I mean I talked just a few moments ago about the fact that we do have an expectation and a confidence that we are continuing to gain momentum in this space, winning programs, getting visibility from customers for their future plans, which create incremental opportunities for us. And so when we talk about CapEx, sometimes that's not only CapEx for just one quarter ahead, but rather a little bit to come. And that is really where we would make those investments with that confidence for the future. I already said it, but I'll just reiterate it. Our team continues to win very broadly in this market in current and next-generation systems and architectures. And that kind of winning, the visibility that you get from the customers, the commitments you get from those customers, those all collect to give you the confidence to invest in these very high technology products, which do sometimes require a little bit more capital.
Operator: The next question is from Samik Chatterjee with JPMorgan.
Samik Chatterjee: Adam, I know last quarter, you had mentioned some of the pull ahead that you thought was happening in mobile devices, which is why you had guided a bit for a sequential moderation, which didn't seem to have played out this quarter as much. I'm just curious, like, obviously, with the book-to-bill at 0.98: 1, if I take AI aside, is there anything to call out in terms of areas that you might be seeing some level of pull ahead from customers where maybe that's driving some of the book-to-bill to be closer to 1 than what we had been generally seeing as above 1 book-to-bill in the past few quarters. Just curious more outside of AI, if you're seeing anything that would be from an order trend more sort of indicating a sequential moderation as such?
R. Norwitt: Thanks very much, Samik. I mean, first, you mentioned mobile devices. And in mobile devices, our bookings always equal our shipments because they're pretty quick call-offs. And yes, in the first quarter, we did talk about -- there was a pretty well-publicized pull ahead of some volumes in the first quarter, which we certainly helped to enable for our customer, and that was at the time related to the anticipation of some tariffs. I wouldn't say that, that happened here in the quarter. In fact, I would say that our team in Mobile Devices just did a really outstanding job of capitalizing on opportunities to support our customers better, whether that's taking a little bit of market share, shipping a little bit more than maybe customers expected or customers needing a little bit more because of the volatility of that market. In terms of the rest of the company, I wouldn't say that there's anything really notable around the book-to-bill. I'd say that the book-to-bills were fairly clustered pretty close to that level, maybe a little bit stronger in the defense market, and we've talked about the ongoing strength in defense previously, and we continue to see that here, and you can imagine with IT datacom with us having shipped ahead as we did that there was a modestly a little bit lower book-to-bill, but nothing that gives us any concern about the visibility that we have. We continue to have still a very positive outlook for that market.
Operator: The next question is from Luke Junk with Baird.
Luke Junk: I want to circle back to operating margin dynamics. Of course, we've talked a lot about the higher technology underpinning that margin dynamic. Adam, hoping maybe you could talk about some of the pure operating pieces here in terms of blocking and tackling. I'm just trying to wrap my head around 41 points of organic growth. I mean we're talking billions of billions of incremental sales. Maybe you could just give some life to some of the more practical considerations in terms of bringing that amount of incremental volume online, plus to the extent that it might be supporting what you're saying about the incremental margin moving up over time as well.
R. Norwitt: Well, look, Luke, I'm glad you asked that question because growing 41% organically is certainly not a trivial task. Let alone 14% organic on a sequential basis, which is just 90 days of time. And I mentioned it in my prepared remarks, how grateful I am and how proud I am of our team around the world for really moving mountains here. I mean they have truly moved mountains. And when you think about what does that mean, I mean, it's hiring the people. It's putting in place the automation machines, the testing, the validation. It's setting up new facilities. I mean we have set up a lot of new facilities over this time period, including diversifying our geographic footprint to insulate us and our customers from the dynamics that are going around related to trade and other areas. I mean it's really every step of the way, every function in the company, which has to focus on exercising themselves, the organization, reacting in real time to grow the company by a 41% organic basis and yes, there is a strong growth that happened in IT datacom. But even if you took out IT datacom, this was double-digit organic growth across the board in the company and all of our end markets with the exception of 2 grew in double digits, and those 2 that didn't grew by 8% organically, which is also very, very strong. And so no doubt about it that kind of, as you say, blocking and tackling across the company was really impressive. And look, in maybe other enterprises, one would think about just throwing money at the problem. How much money can I throw to get the growth, but that's not the Amphenol style. That's not our entrepreneurial culture, that Amphenolian culture that we talk about for so many years. It's rather how do you get the most out of your resources, your facilities, your capabilities and thereby ultimately convert that to the bottom line, as Craig talked about already. And it's just a very, very impressive performance by the organization. And it is those little movements by the thousands of people around the world, nearly 150,000 Amphenolian's globally today that ultimately allowed us to satisfy our customers to take advantage of the growth opportunity that was there and then to convert that opportunity into the margins and ultimately, the cash that creates the virtuous cycle that the company has been on for a long time.
Operator: The next question is from Joe Spak with UBS.
Joseph Spak: Adam, I guess I just want to -- not to beat the horse on this, but you mentioned it as sort of, I guess, not pull forward, but overperformance in the AI side, and you're saying that's because your customers will take their hands on whatever they can get. But then you did sort of -- it did seem like part of the reason you're sort of talking about a little bit of maybe sequential softness just to sort of account for that. So can you just sort of help us square that circle? Like I know you said this was always going to be a little bit lumpy even if there's great long-term growth. So is that what you're sort of seeing maybe a little bit of just digestion before we see some further gains?
R. Norwitt: Yes. I mean, look, I've always said, Joe, that it's going to be -- there can be lumpiness. And look, I would not call Q3 kind of like an air pocket. The demand from our customers remains very strong. There's no doubt about it. It's just that when they think of their demand plans, and what ultimately they're delivering out into the field, and they want to match all the various parts of to do that, we've gotten a little bit ahead in certain areas, and that was just this outperformance that we had in the second quarter. But the overall demand, the investments that are being made by our customers and their customers remains very, very robust.
Operator: The next question is from Asiya Merchant with Citigroup.
Asiya Merchant: If I can just double-click a little bit on the industrial market as well. That did really well for you guys, better than expected, I think, even on an organic and sequential basis, definitely. So I think you mentioned Europe is growing too organically. Just if you could talk about the improvement that you're seeing there. And my impression is that, that market should also help to improve incremental margins if this momentum sustains. If you could just talk about that as well.
R. Norwitt: Yes. Thanks very much, Asiya. Well, look, let me just address the margin. I mean, I certainly wouldn't assume that there'd be any disproportionate contributions from industrial. We make good money across all of our markets. I think we've addressed that already. But relative to industrial, I mean, we are very encouraged by the performance. It's now been -- it's our third quarter in a row of year-over-year organic growth, which we've now seen in industrial. And that included this quarter, strong sequential growth on an organic basis, growing 7% sequentially. You'll recall, we had something like 7 quarters in a row of industrial moderation. We finally, in the third quarter of last year, saw a flat industrial market organically and then 6% up and 6% up in Q4 and Q1. And now we've doubled that rate with a 12% growth. And so I think for sure, I think last quarter, I talked about not just green shoots, but maybe even a daffodil or two in the industrial market. And I think we've now seen that certainly. And that includes not just in North America and Asia, which the last 2 quarters were drivers of, but also in Europe, where we actually saw double-digit organic growth in Europe in industrial in the second quarter. The other thing that I'm encouraged by in industrial is that if I look at all the subsegments of our industrial market, and there's a lot of them from medical to alternative energy, instrumentation, rail mass transit, factory automation, and we saw good growth in most of our end markets, strong growth in medical, strong growth in alternative energy, strong growth in instrumentation, strong growth in areas like factory automation with only a couple of the markets being a little more modest, and so the breadth of that, together with the regional growth that we've seen in industrial, I think, was very encouraging for us.
Operator: The next question is from Andrew Buscaglia with BNP Paribas.
Andrew Buscaglia: Yes, I wanted to ask on the acquisition of Narda. Can you comment on what you paid for it, either valuation or dollar amount-wise? And then you're generating a ton of cash, double I was expecting just in the quarter. What do you plan to do with it in the second half? Is it -- are more deals on the horizon? Are they more Narda-like deals? Or are we going to see kind of a CommScope deal in size? Have you comment on that?
R. Norwitt: Yes. Thanks, Andrew, very much. I mean, look, Narda is a great company. And as I said, it's a very exciting new growth area for us in these RF components, which are really a very close complement with our RF interconnect, which is an industry-leading offering that we have. And if you think about RF across the company from antennas all the way to connectors and active components now, Narda really complements that very well. We paid roughly $300 million for this, which is a reasonable multiple as we always do look to pay. In terms of our acquisition pipeline, we have a great pipeline today. We continue to have companies large, medium and small across all of our end markets, and we continue to hunt for companies that have great people with great products and a great market position. And I would tell you that today, looking at our pipeline, we're very encouraged by the potential going forward. And ultimately, we remain not very skilled at predicting when we'll sign and announce those acquisitions. But the beauty of our acquisition program, if you look over the last 2.5, 3 years, we brought into Amphenol into our family, I think, roughly 15, 16 companies. They were across almost all of our end markets, geographically diverse and also companies large, medium and small, which included our 2 largest ever acquisitions of CIT and the ANDREW business from CommScope. We're very encouraged by the performance of CIT and ANDREW, which are certainly helping those great conversion margins that Craig talked about earlier as well as the other acquisitions that we've made. And so there's no doubt that we believe that acquisitions still represent one of the best returns on the capital that we're generating, and we're generating a lot of cash, and we have a lot of capital to go put to work, both in our own organic investments, but also through our M&A program.
Operator: The next question is from Saree Boroditsky with Jefferies.
Saree Boroditsky: Just maybe something high level. There were a number of end markets in the quarter that came in better than your expectations. I know you kind of talked about the pull forward in AI, but maybe just talk about what surprised you in the quarter? Or was it just conservative given some of the high level of uncertainty we're seeing? And then how does that apply to how you're thinking about the guidance for 3Q? And is there some conservatism there as well?
R. Norwitt: Well, thanks so much, Saree. Look, we always try to guide as best as we can. We have a bottoms-up approach to this. Have we outperformed that in many quarters? We have. But I'm not going to label our guidance conservative or aggressive or otherwise. I think we take a similar approach as we always have. What surprised us to the upside here, I will say that just broadly, we saw strong performance across nearly all of our end markets or stronger-than-expected performance across nearly all of our end markets. And they each had their own dynamic. But I think the one common thread is the ability of our organization to execute when there is demand available for us. And we showed that in IT datacom. We demonstrated that in mobile devices. We're consistently demonstrating that in our defense market and in fact, across the board and that ability to pivot quickly when the opportunities are there in this very exciting electronics industry, I think that's something that Amphenolian's the world over, never miss a chance to take advantage of. And so that real sort of execution across our team, I think if anything, it's not surprising to me, but I'd say that's the common theme across all of these end markets. I will say it's encouraging on another side, which is that the demand that we see across our markets appears to be strengthening. A few markets which were maybe in the last few quarters, more questionable, industrial, automotive, for example, it's nice to see those markets growing organically. It's really nice to see that in communications networks, where we had strong growth, 16% organic growth. And com air, again, growing 8% organically. So there is robust demand, I would say, almost across the board in all the areas that we serve. And then it's just up to our team to out-execute even that level of demand. And I think we've demonstrated the ability to do that pretty consistently.
Operator: The next question is from Wamsi Mohan with Bank of America.
Wamsi Mohan: Adam, I just want to go back to AI and ask about what you said about shipping ahead because of superior execution. Would you say that, that was something that happened just in 2Q? Or was there some of that in 1Q as well and then orders came back intra-quarter? I guess the question is really how far out do you have visibility in the order book? And over the past few quarters, how much volatility have you seen in the order patterns in IT datacom, especially relative to AI, which might uptick mid-quarter?
R. Norwitt: Thanks, Wamsi. I mean, look, I would say that our out execution to our customers demand was really more clear here in the second quarter. But relative to orders, I mean, we've talked about -- we've had very, very strong orders over the last almost full year in AI. And some of those orders were really maybe a little bit longer visibility because of the capital that we're spending on behalf of our customers to do these very significant ramp-ups for them around the world. And so there can be always a little bit of lumpiness in those orders. But given that how well we're executing, I would say it's kind of a net of this kind of shipping ahead that we had in the quarter, I would say it's pretty close to 1:1 in the quarter. But we've had much stronger orders as we've worked on investments and been awarded new programs, and we will continue to be awarded new programs based on everything that we see with our customers. And there will be some quarters where the orders are a little lumpier. But overall, we see a positive trend for quite some time into the future.
Operator: The last question is from Scott Graham with Seaport Research.
Scott Graham: Congratulations on the quarter. I'm hoping you could answer this, either of you. Another question on the incremental margin, which for rounding purposes, let's just say it's up 500-plus basis points over the last couple of years, which also coincides with 2 years of your 3 most acquisitive years in the company's history. So I'm wondering if -- of that 500 basis points, how much of that would you say is organic versus how much is from the acquisitions with good assimilation, integration, that sort of thing?
Craig Lampo: Yes. Thanks, Scott. Listen, I would say that certainly, there are pieces of this. And one -- a big piece, the meaningful piece of it is certainly the things that we talked about earlier, which is just increased technology of our products, the more meaningful way that we are serving our customers in terms of our execution, in terms of our ability to really service them with great quality products, the things they need in their architectures. Those types of things are really, I think, have a big part of our margin expansion and really just creating value for our customers and then sharing in that value. But there's no doubt about it. I mean our acquisition program and our ability to improve the profitability of the acquisitions that we've been doing over time has certainly added to the profitability of the business, especially when you look sequentially over kind of a number of quarters, we have seen meaningful profitability improvements in some of the larger acquisitions that we've more recently done as well as some of the smaller ones. And that certainly has had some impact on our profitability improvement over time. So it's not just one thing. It's a lot of things that go into improving profitability, both organically and through the acquisitions and working with even some of the businesses that are within the company that are at lower profitability levels that may not be acquisitions and certainly working with them on profitability improvement initiatives that we've seen kind of come along over the past year. So I think there's a variety of things, but there's no doubt that our success and our -- the team's ability at the acquisitions that have come into the family to be able to improve on their margins has certainly been one of the things that have been helpful in improving our profitability.
Operator:
A - R. Norwitt:
R. Norwitt: Well, thank you very much. And I'd like to once again thank everybody for joining our call this quarter. And I wish everybody a great continuation of your summer, and we look forward to talking to you all again just in a short 90 days. Thanks very much, and have a great summer. Thank you.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines.